Operator: Greetings, and welcome to XPEL Technologies Fourth Quarter and Year End 2017 Earnings Call. At this time all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Jen Belodeau.
Jennifer Belodeau: Good morning and welcome to our Conference Call to discuss XPEL Technologies Financial Results for 2017. On the call today Ryan Pape, XPEL’s President and Chief Executive Officer; and Barry Wood, XPEL’s Chief Financial Officer, will provide an overview of the business operations and review the company’s financial results. Immediately after the prepared comments, we will take questions from our call participants. I’ll take a moment to read the Safe Harbor statement. During the course of this call, we’ll make certain forward-looking statements regarding XPEL Technology Corp. and its business, which may include, they are not limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company’s growth strategy. Often, but not always, forward-looking statements can be identified by the use of words, such as plans, as expected, expects, scheduled, intends, contemplates, anticipates, believes, proposes or variations, including negative variations of such words or phrases; or state of certain actions, events or results may, could, would, might, or will be taken, occur, or be achieved. Such statements are based on the current expectations of the management of XPEL. The forward-looking events and circumstances discussed in this the call may not occur by certain specific dates or at all and could differ materially as a result of known and unknown risk factors and uncertainties affecting the company, performance and acceptance of the company’s products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although XPEL has attempted to identify important factors that could cause actual actions, events or results to differ materially from those described in forward-looking statements, there may be other factors that cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed, except as required by applicable securities laws. Forward-looking statements speak only as of the date on which they are made, and XPEL undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that out of the way let me turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thanks, Jen, and good morning everyone. Welcome to our year-end fourth quarter conference call. As I said previously last quarter 2017 was a transformational year for us. I think we accomplish the lock and put up pretty good growth while overcoming some of the optimism challenges from the previous year. So, we ended the year with revenues of just under 68 million, which was 30.9% growth rate over 2016. We also saw rapid increases in our 2017 sequential quarterly growth. So that I think represents reflect strong revenue momentum. So, while some of our strongest growth last year occurred in markets where we have the lowest margins, we have begun to address this mix phenomenon to a combination of targeted price increases -- price increases and reduction in other non-product costs and in our cost of goods sold due to efficiency. So, we’re already seeing these efforts payoff in 2018, which is a great thing. For the fourth quarter revenue grew 52.7% to 20.2 million, which was by far the highest revenue quarter in our history. We’re seeing strong growth across all of our regions, which is a little bit different in earlier in the year or it was a little bit more a spotty, but particularly in Asia and China specifically. So, China revenue grew to just over 20% of our total revenue for the fourth quarter. so obviously that’s a nice development it’s been building over the year for us. And it’s obviously a new dynamic for us. So, we’re building strong revenue and during the year and we’re seeing that momentum on revenue growth continue into Q1. So, we executed on several major initiatives during the third and fourth quarter as we started discussing last quarter. They included consolidation of several facilities and our major restructuring our sales and operation staff. So, this resulted in recruiting and severance costs in the fourth quarter like we experience in the third quarter. So, these were anticipated as part of those changes. And the cost associated with these changes have been fully recognized in the fourth quarter. So those two things are substantially complete. We also were impacted in the quarter by the elimination, consolidation of some of our paint protection film products, specifically some of our oldest and more specialized product lines, these are the lines that where the lowest margin and we worked aggressively to eliminate these products in favor of our higher margin products going forward, the other products we offer today as well as just leaving the flexibility and working capital space if you will for our next gen products that we will be bringing to market. So, while that elimination of those SKUs is not entirely complete, the impact in Q1 will be minimal if any. So, it’s substantially complete. So, this consolidation of SKUs resulted in about $0.5 million in non-recurring cost in the fourth quarter of similar to some of experience in the third. Did impact the gross margins in the quarter and as well because we sold some of these products we’re just continuing at a very aggressive price point that also contributed to pressure on gross margin for the quarter. But as we mentioned in our release, this generated significant cash flow from operations and that helped us reduce our revolving debt by two-thirds at year-end. So that’s a really good thing. Also, as we discussed on last quarter’s call. We’ll be officially launching our next generation of product called Ultimate Plus, which is the next evolution of the Ultimate paint protection film product in April, Ultimate Plus as better optimal characteristics, better installation characteristics, which is a key advantage for our installers. So as a result of this, we’re able to introduce some modified pricing that will further provide for margin enhancement in all the geographies that we operate really. So also, in the fourth quarter as we previously announced we acquire Protex Canada, which is a leading franchise or paint protection window film in Canada with over 75 franchise locations. So, our Canadian subsidiary XPEL Canada already had a supply agreement to serve the franchise group on an exclusive basis. So, the near act of the acquisition didn’t result in a lot of extra revenue, because we are already selling the product to the franchise. But now, we can double our support and ensure to success the franchise group and really lock on to the relationship. So, we’ve got a dedicated management team for Protex who remains in place, franchise will still get great value from them. Previously, we paid a rebate on sales back to Protex as part of the exclusive arrangement to supply them. So obviously, we get to recapture that now and Protex's other primary source of revenue is royalty on sales from franchisees. So, we obviously pick up that revenue, which is of course high margin, but not a significant dollar amounts relative to the overall revenue. So, we don’t have any significant plans for Protex at this point beyond Canada. But we’ll continually evaluate our global footprint for opportunities for Protex beyond Canada going forward. Also, during the quarter, we established operations in Mexico by opening a distribution facility and sales office in [indiscernible]. Mexico is a great market for our products and one we worked to penetrate for a number of years even prior to establishing the facility. And we’re excited about the prospects there. We’re running now about 50-50 mix of paint protection film and window film in the country and we expect window film to play a large role there and probably larger than some other markets that we’re in. It’s not a particularly well served market, but it’s a large market and we think, we have an attractive cost structure and attractive product portfolio to address the market. So right now, our initial sales are modest in the country, but they usually dwarf in months what we’ve sold in years previously in Mexico. So, it's important to us, we're well positioned to support Mexico also through our San Antonio, Texas headquarters as well many connections between the two markets and a long history of business ties. So, this is really a strategic advantage for us. So, we're excited about that and hopefully we get more to talk about there over the coming year. In the quarter, we also acquired a long-time customer Boise Auto, it’s a further example of our Get Close to the customer market development strategy. Boise is a smaller market than others where we have a physical presence. So, this presented a different set of circumstances which is helpful for us. So, we continue to tweak and evaluate the model going forward. As with our overall strategy around this we're looking to use that local presence in Boise as we are in the other locations to build on the base of customers buying our films, not just add service revenue. So, I think that's a key part of the strategy and applies to Boise as well. So, I'm very pleased with what we've been able to accomplish in 2017, I think we're with the various personnel changes we've made in the different restructuring, the product line consolidation, I think we're positioned to have a really great 2018 and improve on a lot of our overall operating metrics. So, I think it should be really good year upcoming for us. So, with that I'll turn it over to very to Barry to review some of the numbers in more detail and then we'll take questions. Barry?
Barry Wood: Thanks, Ryan, and good morning everyone. For the quarter, revenues increased 52.7% to $20.2 million. As Ryan mentioned, our fourth quarter revenues crossed our previous record quarter of $17.8 million which occurred in third quarter of 2017. We experienced robust growth in all of our regions, but the growth was particularly significant [in Asia] as demand has continued to accelerate in this region. For the year, revenues grew 30.7% to $67.8 million. As a point of reference, our revenue growth in 2016 was 24.8%. Gross margin for the quarter grew 44.4% to $4.6 million and declined as a percent of sales to 22.9% versus prior year quarter of 23.9%. We did incur around $0.5 million in non-recurring costs related to the continuation of our SKU consolidation initiative that began in Q3, but normalizing for those additional costs, gross margin for the quarter would have been 24.9%. Gross margin was further affected by higher mix of sales through lower margin distribution channels as Ryan alluded to earlier. But however, we do believe that we have offset future impacts of this potential mix effect with price increases within the channels as we move forward. On a year-to-date basis, gross margin grew 19.7% to $16.8 million and decreased as a percent of sales from 27.1% to 24.8%. Normalizing for the year-to-date impacts of our product consolidation initiatives, gross margin would have been 26.3% for the year and again this lower margin is really due to -- mainly to the sales mix. SG&A expenses for the quarter increased 26.2% versus prior quarter and 35.1% on a year-to-date basis. As a percent of sales, SG&A costs declined to 21.1% versus 25.6% in 2016. So, we began to see some leverage there. We did incur approximately $125,000 of non-recurring costs related to our sales and operation, staff restructure that again began in Q3 and also as we've noted in prior quarters and discussed on these calls previously, effective January 1st, we changed our method of depreciating our fixed assets from the doubled declining balance method to the straight line method and again this change is made to better reflect how we consume the future benefits of our assets and this change did accelerate the depreciation of some of our older assets into 2017. And the impact of this change will lessen significantly begin in 2018 and beyond. And the impact of Q4 was right around $90,000. And to normalize for onetime restructuring cost in this depreciation change SG&A expenses would have grown 19.8% and represented 20.3% of total sales. So, we feel pretty good about the direction and continue to work on the SG&A but line as we move forward. EBITDA for the quarter increased 0.9 million to $1 million versus prior year quarter which was only $92,000 last year’s quarter and decreased right around $100,000 to 4.3 million on a year-to-date basis. Factoring in our non-recurring items that would impact EBITDA, EBITDA would have been $1.6 million for the quarter and 5.6 million on a year-to-date basis representing a 28.9% increase versus prior year. Net income for the quarter was approximately $4,000 which was slightly better than the $92,000 loss we saw in Q4 2016 began factoring in the onetime items for the quarter, net income would have been about $450,000 for the quarter and on a year to date basis, net income decreased to 1.13 million versus 2.16 million in the prior year, normalizing for the year-to-date non-recurring items, net income for the year would have been 2.27 million representing a 4.1% increase versus prior year. Cash flow from operations for the quarter was a robust $7.5 million and again this strong cash flow resulted mainly from improved collections in our receivables, reductions in inventory levels as we monetize some of our slower moving items and we did receive some customer advances on future sales which helped quite a bit. So, on a year-to-date basis, our net cash provided by operations totaled $4 million. Return to our inventory 4.69 times in 2017 compared to 5.17 times last year and our strong cash flow performance as Ryan alluded to allowed us to reduce our debt burdens substantially as we paid $4 million down on our line of credit which our balance now sits at $2 million as at 1231. Debt-to-equity ratio at 1231 was 29.2 % versus 47.8% in the prior year. So clearly our balance sheet remains very strong and I think we are well positioned to effectively meeting these at the business in a cost-efficient manner as we move forward. So, we’re very pleased with our topline growth and encouraged by the momentum we continue to see in our topline margin enhancement SG&A efficiency along with revenue growth continue to be top priorities for 2018. 2017 was certainly a year of significant accomplishments for our company and you know we accomplished some big things that put us in driver seat to deliver we think outstanding results in 2018. So, with that operator we’ll now turn the call over to for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Adam Goldstein of Private Investor. Please proceed with your question.
Adam Goldstein: Hi. Obviously, the revenue growth was pretty fantastic this quarter. And you mentioned China was a main reason for that. I was just wondering have you guys consider going to the direct model in China rather than through a distributor?
Ryan Pape: Adam, thanks for the question. So, I think that we, I think we have been pretty clear that our overall operating preference is to be as direct as possible where it makes sense. Because we think that, that’s how we can deliver the greatest value proposition and position the brand most effectively. So, I think ultimately that’s obviously something to consider in China as it would be elsewhere. But I think at this point given the totality of all the factors and all the things we have to work on, that’s not something to operate in Mainland China directly that is under any near-term consideration. But I think we would all agree that it hits our overall strategy, but it’s not something that we’re contemplating at this time.
Adam Goldstein: Okay. You mentioned that due to some targeted price decreases and some operating efficiencies you’re going to improve, hope to improve the profit margin going forward. Could you quantify that at all in terms of what kind of impact you could see as a percentage of sales?
Ryan Pape: Yes. We’re not able to quantify it yet. I mean obviously, timing wise, we’re in the position where, we’re nearing the end of the first quarter. So, we’re confident enough in the direction that we’re seeing in momentum to talk about the improving characteristics that we see. But that said, March is typically should be busiest month of the first quarter and it tends to be backend loaded in the month. So, as we warned in the past, we need to get through March and have the opportunity to close the quarter. But given that we are at this point in the quarter, I think it shows us, we’re headed in the right direction and on margin improvement and that performance and revenue growth.
Adam Goldstein: Okay. Just maybe focusing not so much on the particular quarter. But just overall even over say trend of past couple of years. This has clearly been a decline in the gross profit percentage. So now according to, you’re using like your adjusted numbers, the adjusted gross margin for this most recent quarter was 24.9%. And then the SG&A as a percentage of revenue is 20.3%. So, the operating margin is getting pretty skinny, we’re down to 4.6% of revenue. So just in terms of our business model going forward is that kind of emergency 4.6% operating margin somewhere around what we should expect of this business going forward?
Ryan Pape: No. I think we’re aiming for higher margins in that. I think we said that pretty consistently, it just a question of the exact timing and where and how we grow and where and how we invest. I think we talked about last quarter, our investment in the European operation added the equivalent of $1 million in annual SG&A. But now as a result, we’re seeing that as one of our highest growth areas, revenue growth areas by percentage. So that should quickly burn through that fix sort of SG&A there. So, it's a constant decision of where to invest and where not to, I think we've been happy with those investments and as the business scales, and it continues get larger growing at the rates we've been growing last year that helps you grow through the SG&A. We’ve need to make sure that our level of investment in areas going forward is targeted and intentional and then help managed to the final number.
Adam Goldstein: Okay. Now back to an issue I brought up last quarter which was some disclosure on the reporting. I notice now it looks like you've changed the reporting from what used to be Europe to now it's called International Other, I'm a little confused. Can you explain how your reporting has changed?
Barry Wood: Yeah, Adam. This is Barry. Thanks for the question. So basically, what we did -- since Mexico got started so late in the year and it really didn't have a significant impact as a separate line item or anything in terms of regional disclosures which we put in that international, other column and that was really the only change. now as we move forward obviously as we said in the past we're going to continue to evaluate that part of the disclosures that we have and try to mirror up what we think is useful, most useful for the investors.
Adam Goldstein: Okay. Well as an investor here's my suggestion, I think at least based on my understanding, the business breaking it out into U.S., Canada, Europe and then all other, those four buckets seem to make sense, doesn’t it?
Barry Wood: Yeah. That's certainly an option for us and well certainly, again as I said, we'll be evaluating that as we continue to move forward in 2018.
Adam Goldstein: Okay. I'm curious since it wasn't broken out in the filing, Europe had been discussed earlier as a very fast-growing region. Could you say how Europe did in Q4 of 2017 compared to the prior year?
Ryan Pape: Yeah, Adam. It’s Ryan, again. So, we saw very high revenue growth in Europe year-over-year. It was approaching 100% doubling the revenue there. Yeah.
Adam Goldstein: Wow. That’s pretty impressive. So, Europe is going as well as you hoped, I guess?
Ryan Pape: Yeah, I think that it's always a challenge to know exactly what to expect because the dynamics in any of these markets are different. I would say that certainly being in a position where you have or close to double revenue year-over-year we weren't expecting more. So, I would say we're very happy with that and that shows strong fundamentals there, it shows a value of having our team there and it shows how well the teams are executing. And this is with the backstop of prior to that -- prior to establishing those operations over the past two years and relying solely on third-party distribution before that, and we weren't doing, but a fraction of the revenue. And so I think for us it really validates for me that where we invest if we do it smartly and we bring everything we have to bear and we try and bring all the value that we offer to our customers say in North America and elsewhere that we can really grow faster and be more successful overall in other key geographies where we’re able to operator ourselves and I think. And I think Europe was a big test for that and I think it's proving that, you know our overall level of investment there was a bit higher than we initially thought just once you get into it and realize what we really need but with the type of growth rate we’re seeing, you know you get through those SG&A in a hurry. So, we’re very happy with it.
Operator: Our next question comes from the line of Jason Hershman, a Private Investor. Please proceed with your question.
Jason Hershman: A little disappointed you didn’t do triple digit topline growth and there is always a goal for the next quarter I guess. So overall, it’s a fantastic quarter and I have two questions for you today. Since China is becoming so important maybe you can give a little bit more color on what is driving the growth in China’s qualitatively. Was it the new film that you’ve released Zeus or is this the overall acceptance of PPF or some combination, whatever color you can provide will be appreciated.
Ryan Pape: Sure, I would say it’s a combination of things. So, we have a very strong distributor in China that we’ve been working with for, I believe it's close to four years the products, developments, we do have additional reflection from line as you alluded to that we are selling in China although that only represents a portion of those sales. what they’ve really done with our help over the past year just the massive of investments of the XPEL brand and you’ll see it displayed in shops and in XPEL branded locations in China in a way that really rivals anywhere in the world in terms of how well they’re executing that. And so, I give them a lot of credit and also our teams that’s helping them a manage that because we have spent a considerable amount of time and lots of miles in the airplane and various things to help support them. So, I think its broad based and is very heavily rooted in the XPEL brand and I think that that’s very important to understand as a contrast to anonymous film shipped by the container could still be great business but business that’s built around the XPEL brand is going to be far better for us long-term. So, it’s not one particular thing, it's not an overnight thing, it’s a result of very hard work that they’re doing in our support building on that incrementally over the past couple of years.
Jason Hershman: Okay, maybe if you could just switch from China to Canada then and maybe I’ll ask you similar question about Protex. Are there any other figures or colors that you provide just mainly on the size of that business? I know it is stronger in certain regions of Canada; is this a seven-figure film user in Canada or a six-figure film user in Canada, just any color you can provide.
Ryan Pape: So, I think when you look at the Protex network and the Protex franchisee so you know there is 75 franchise locations across paint protection film and window film and those are all owned independently or in a couple of cases there is an operator and there are multiple locations. So those franchisees would buy their product from XPEL Canada directly even prior to the acquisition because XPEL had a supply agreement to Protex where we were the exclusive supplier of all products to their franchisees but we would not sell them to the Protex Corporation but rather we’d sell them to the individual franchisees. So altogether you know that’s several million dollars a year in revenue to us, but that’s not net new revenue as a result of acquiring the franchisor, because we already have that revenue by selling directly to the franchisees, if that makes sense?
Jason Hershman: Sure. And just the Segway to flat glass, I know this, they start online and Instagram and on their own online marketing promote your flat glass line. I was wondering, if you give an update on how that’s still going along Canada and also in [indiscernible] and elsewhere?
Ryan Pape: Sure. So just to restate what we said before. So, we have XPEL Vision, which is a residential commercial window film, which is similar to window film for automotive that many people are aware of, but obviously for architecture purposes. And this is entirely new line of business for us, it’s not automotive, but there is customer overlap and supply chain overlap for us. And so, we’re really in a very initial soft launch of that throughout our different geographies. Protex with franchisees that are in the architecture film space. We’ve been able to accelerate that launch and target a lot of the initial marketing and initial work with them because they represent a captive audience, we can get too quickly. So that’s probably why you see more of that marketing coming out of the Protex franchisees and elsewhere. But I think over next year or the rest of this year you’ll see more of that from us outside of Protex as we work to launch and accelerate that line more fully.
Jason Hershman: Finally, one question for Barry if I may. Barry, could you quantify how much working capital was released from these specialty film discontinuations, was it 1 million, was it 1.5 million. I’m curious how much working capital you were able to take out of the business?
Barry Wood: Yes. I’ll actually answer that Jason. So, I think that our goal was to eliminate about in excess of $2 million of inventory in other products that we wanted to discontinue. So as of year-end, exactly what percentage of that was done, we don’t have that directly. But it was a substantial percentage. So, the goal was not necessarily to permanently lower the working capital requirements of the business. But ultimate be able to shift that into product that turns faster and to build more stock of the products that sell the most obviously.
Operator: [Operator Instructions]. Our next question comes from the line of Rob [indiscernible] Private Investor. Please proceed with your question.
Unidentified Analyst: I was just wondering, if you could talk a little bit about listing on the Toronto Venture Exchange in U.S. currency. I know that this question come up periodically, but I think it’s been a little while and as 2017 comes to the close and it seems like momentum is just shifting in the upward direction. I was wondering, what your thoughts were and whether you could comment on, if they’re sort of near-term, medium-term or it’s not really on your radar to shift to an American listing?
Ryan Pape: I think what we’ve said and it’s remains through is it we recognize, this is important and it is a priority of ours. So, we don’t have any more specific timing to share yet.
Operator: Our next question comes from the line of Andy Preikschat from Edgebrook Partners. Please proceed with your question.
Andy Preikschat: Yes, hello guys. You mentioned in the call just now that Ultimate Plus will be officially launching in April. Can you share any detail on what you're doing with this launch in terms of marketing and what the transition could look like from an Ultimate? Thank you.
Ryan Pape: Sure, Andy. Yeah we've got a marketing campaign geared around it to try and build some buzz and there's a number of other visual differences with the product and different packaging and a whole different experience to go with it that we think will really create some excitement around it and that's part of the reason why the timetable on that launch is moved back a couple times and ends up a little bit later in April or April being later than we initially targeted and we want to draw attention to the fact that we've improved the product and create an overall better experience in a splash and so we've got quite a bit of marketing to go with it and some videos and other things to highlight some of the benefits and create that splash in presentation. So, I think it will be a really good launch for us with the Ultimate Plus and then we can carry that through with other products, and some enhancements that we have in the pipeline beyond that.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would now like to turn the call back to Ryan for closing remarks.
Ryan Pape: I'd like to thank everybody for participating and asking questions and we look forward to talking with you again in short order for Q1. Thanks a lot.
Operator: That concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.